Operator: Greetings, and welcome to Tattooed Chef Second Quarter 2022 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Devin Sullivan, you may begin.
Devin Sullivan: Thank you. Good afternoon, everyone, and welcome to Tattooed Chef's 2022 second quarter financial results conference call. On the call today are Sam Galletti, President and Chief Executive Officer; Sarah Galletti, Chief Creative Officer and The Tattooed Chef; and Stephanie Dieckmann, Chief Financial Officer; Gasper Guarrasi, Chief Operating Officer; and Matt Williams, Chief Growth Officer, will also be available for questions. Earlier this afternoon, the company issued its press release, a copy of which is available in the Investors section of our website at www.tattooedchef.com. Before we begin, I'd like to remind everyone that the prepared remarks contain forward-looking statements. Such statements involve a number of known and unknown uncertainties, many of which are outside the company's control and can cause future results, performance or achievements to differ significantly from the results, performance or achievements expressed or implied by such forward-looking statements. Important factors and risks that could cause or contribute to such differences are detailed in the company's filings with the Securities and Exchange Commission, except as required by law, the company undertakes no obligation to update any forward-looking or other statements herein, whether as a result of new information, future events or otherwise. In addition within the earnings release and in today's prepared remarks, adjusted EBITDA is referenced. It is important to note that this is a non-GAAP financial measure, that the company believes is a useful metric that better reflects the performance of its business on an ongoing basis. A reconciliation of this non-GAAP financial measure to its most directly comparable GAAP financial measure is included in today's press release, which has also been posted to the company's website. With that said, it is my pleasure to turn the call over to Tattooed Chefs, President and CEO, Sam Galletti. Sam, please go ahead.
Sam Galletti : Thank you, Gavin, and thanks everyone for joining us today. We reported another strong period of growth with second quarter revenue increasing 15.6% and six month revenues rising by nearly 27%. We believe that this reflects our success at expanding our retail presence, elevating our profile and investing in all aspects of the Tattooed Chef brand. We are uniquely positioned as a fully integrated value added plant-based food company. We grow what we sell. We offer options that fit every phase of a consumer's plant-based side, and we make food that taste great. As a result, we believe that we are well positioned to achieve scale, drive revenue growth and capital -- capture additional market share. While we are continuing to attract consumers to the frozen aisle, we have taken important steps to broaden our presence by introducing products that gain us entry into the refrigerated and ambient food spaces with the recent soft launches of our Oak butter bars and grain and dairy free tortilla chips. I'll let Sarah discuss these new products in more detail, but suffice to say that the initial reception has been very encouraging. We continue to execute our strategy of diversifying our channel mix, broadening the breadth of distribution of our existing portfolio and expanding Tattooed Chef into new categories that are right for plant-based innovation. We have made progress in Q2 in all three of these key areas. We continue to add new distribution. We added more than 35,000 new points of distribution during the second quarter. We continue to add new stores. We have expanded our retail presence to approximately 17,200 retail locations across the country. This is a 240% increase in store count since the start of 2021. Tattooed Chef brand consumption is measured by Spin IRI in Q2 was 23.3 million and grew 140% versus the prior your quarter further, our diversification momentum in the grocery and mass channels continued with Chef consumption sales more than tripling in total dollars versus the prior year quarter. In Q2, our Tattooed Chef consumption and sales in new categories, such as plant-based burritos quesadilla breakfast began to gain traction and market share. Year to date, our ACV is 52.4% in U.S. MULO, which has grown 45.9% verse prior year. Tattooed Chef total distribution points or TDP sold at retail for the 13 week period ending June 12, 2022 has grown 131.2% making Tattooed Chef the fastest frozen brand to gain distribution in the first half of 2022. Recently, we were recognized by spins as being the fastest growing brand in the conventional food channel year to date in the grocery frozen and refrigerated categories. This demonstrates our ability to execute our strategy of channel and category diversification. Consumption data for the second quarter is measured by SPINS IRI reflects our continual growth, channel diversifications, and category expansion. In our core category, plant-based entrees remain the number two health and wellness brand behind Amy's and outselling brands such as Healthy Choice, Sweeter, and Evolve. This remains extremely encouraging considering Tattooed Chef is available in fewer total stores than the other top five selling brands. In this key category, our dollar velocity remains strong outperforming all of the previously mentioned brands. In another core category for Tattooed Chef health and wellness pizza our Q2 performance was also strong. On a percentage basis, we are the fastest growing plant-based pizza brand in total dollars with growth of 105.4%. Additionally, compared to the other leading plant-based pizza brands, [Cali-pound] and Daiya, Tattooed Chef has a higher unit velocity, dollar velocity, and average retail price per store selling. These two remains extremely encouraging considering Tattooed Chef ACV is less than half of the two comparative brands. We are continuing to gain new distribution in frozen appetizer, snacks and burrito categories, and are encouraged by retailers willingness to add a plant-based product to their healthy offering. Our units per store selling in dollar per losses are in line with many of the top selling better for you brands, while being premium priced in the category. We achieved a significant milestone as a brand at the end of the second quarter, less than 20% of the health and wellness brands generate more than a 100 million in annual consumption sales. The latest 52 week shows that Tattoos Chef generated over a 100 million in consumption sales in categories in which we compete, placing us in an exclusive class of brands. Considering our timing in the market, we are all very proud of this accomplishment and the support we receive from our partners. We continue to fortify the vertically integrated nature of our operating model, which we believe provides us with a strong and sustainable competitive advantage while enhancing margins, improving efficiencies and driving profits. To that end, the pursuit of growth opportunities in plant-based space has created some operational inefficiencies in and higher cash burn. To address this problem head on, we have put initiatives and motions such as automation and robotics, streamlining of our facilities, and leasing a dedicated cold storage space. These initiatives are expected to be completed by the end of the second quarter in 2023. As noted earlier, we completed the initial production run of our refrigerated Oak butter bars at our facility in Ohio. We expect that these bars will begin to hit shelves in Q4 2022, and early 2023. As a reminder, these bars will mark our entry into the refrigerated space, which broadens product availability. Additionally, our goal is to hit shelves in Q1 2023 with our dairy and grain-free chips, which will be our initial entry into the ambient space. We are excited to be expanding into these new grocery aisles and expect that these new products will generate a higher gross margin than our frozen offerings. We certainly experienced some challenges during the first half of the year, across the board inflationary pressures impacted our operations, especially our gross profit which includes domestic and international freight costs that have risen dramatically. Although it is difficult for us to prevent the trajectory of these inflationary trends, the initiatives that we are undertaking with respect to driving revenue growth, building SKU counts, integrating automation, and insourcing ingredients that had previously been outsourced should mitigate the effect of these trends. I also want to note that 100% of our growth to date has been unit driven. That is we have not implemented any pricing increases. We do expect to implement our pricing strategy in the later part of 2022, with along with our productivity efforts should help to counter inflationary cost pressures, and advances toward our goal of positive adjusted EBITDA by late 2023. We remain confident in our ability to continue to grow sales and capture additional market share, the fundamentals of our business are strong and getting stronger as we continue to deploy our portfolio of productivity and sales growth initiatives to combat near-term inflationary and margin pressures. We will continue to invest in our brand, our people and our processes, and are committed to delivering long-term value to our shareholders. Thank you for your attention. And I'll now turn things over to Sarah to discuss our innovation and our marketing initiatives. Sarah?
Sarah Galletti : In Q2, we continue to execute our 2022 marketing plan to build brand awareness and support our slate of new product introductions designed to satisfy everybody's plant based sides. As Sam mentioned, we are now taking this proven approach into the refrigerated and ambient food spaces with oat butter bars and grain and dairy free tortilla chips. In fact, we just returned from sampling them at scaled consumers at this year's Lollapalooza music festival in Chicago. The overwhelmingly positive feedback from thousands of festival attendees who told us they were thrilled that now there's an alternative chip that doesn't taste like an alternative, only further validates our new innovations and we can't wait for them to be on retail shelves. The functional ingredients and flavor profiles in all our products keep us ahead of trends and answering the consumed demand for convenient and better for you food options that taste delicious. Tattooed Chef is raising the bar for the entire better for you category and taste, ranking nearly 50% higher than the industry average on taste and satisfaction based on a national frozen shopper study conducted in June of 2022. In Q2, we maintain our significant media by delivering more than 295 million impressions in TV and video via both cable and streaming services, including Bravo, TRUE Network, USA, Peacock and Hulu. In addition, this quarterly launched our first ever digital advertising campaign to reach consumers where they socialize, search and shop with ads on YouTube, Spotify, Twitch, Instagram, and TikTok among others reaching an additional 34 million US consumers in May and June. We continued to deliver against the strategy of meeting consumers where they are by leaning into cultural moments and conducting additional experiential activations at the Coachella music festival and National Tattoo Day. We also launched a docuseries campaign, Shining a Light on Artists and the Causes they Give a Crop About, putting our brand values into action and giving consumers even more reasons to become loyal Tattooed Chef buyers beyond our great tasting and accessible plant-based food. Our marketing programs continue to prove we're delivering sustained brand growth. We saw an increase in household awareness growing from 11% at the end of 2021 to 20% as of June, 2022, based on a survey conducted by YOUGOV in June, 2022. In addition to increasing household awareness, our brand continues to introduce new consumers into the plant based world. Our nostalgic innovation combined with what the Tattooed Chef brand stands for is bringing new consumers into retail freezer aisles for our partners. And we are confident we will continue to see this trend continue as the refrigerated bars and grain and dairy free tortilla chips hit retail shelves later this year and in Q1 2023. I'll now turn the conversation over to Stephanie for a discussion of our results. Stephanie?
Stephanie Dieckmann: Good afternoon, everyone. Revenue increased 15.6% to 58.1 million in the second quarter of 2022 from $50.3 million in the same period last year. Branded sales growth was partially offset by a $6 million year-over-year decline in club sales due to the timing of promotions in 2021 versus 2022. Excluding this impact branded product sales in the second quarter of 2022 increased 21.4% from the prior year quarter. Sam referenced the inflationary headwinds we felt this quarter, and they are reflected in our cost of goods sold. For the second quarter of 2022, cost of goods sold rose 36.7% to $57.4 million, up from $42 million in second quarter of 2021. These costs rose more than sales due primarily to an unprecedented rise in domestic and international freight costs, along with increases in food costs. In addition, we have been purposefully building inventory to avoid supply chain issues and in preparation of product launches that are scheduled for later this year. Gross profit was $740,000 in second quarter of 2022 or 1.3% of revenue compared to $8.3 million or 16.5% of revenue in the second quarter 2021. These declines were due to the above referenced increase in cost of goods sold, primarily driven by increased production, overhead expense and inflationary impacts on food, packaging, freight and logistics services. Freight on finished goods was roughly $6.7 million in the 2022 second quarter, and equated to roughly 11.4% of total revenue this quarter. Given the expected revenue growth in the second half of 2022 and ongoing vertical integration initiative, these costs are expected to decline as a percentage of sales, which should lead to improved profit margins. Operating expenses rose 48.3% to $24.3 million for the second quarter 2022 from $16.4 million in the second quarter 2021, reflecting ongoing investments in the Tattooed Chef brand, sales channel expansion and higher public company costs. The quarter over quarter increases were due primarily to a $2.5 million increase in marketing and promotional expenses, a $2.2 million increase in operating expenses for entities that were newly acquired in 2021, a $1.5 million increase in payroll and recruiting expenses. A 1.1 million increase in stock compensation expense, and a 1 million increase in post manufactured cold storage expenses set by a $1.8 million decrease in professional expenses. Net loss in the second quarter of 2022 was $26.4 million or negative $0.32 per diluted share as compared to a net loss of $57.5 million or negative $0.70 per diluted share in second quarter 2021, adjusted EBITDA loss was $20.5 million in the second quarter 2022, compared to adjusted EBITDA loss of $6.1 million in second quarter 2021. With respect to our balance sheet, at June 30th, 2022, cash was $27.7 million, long-term debt was approximately $1.4 million, and our current ratio was 2.7. Net cash used in operating activities for the three months ended June 30, 2022 was $23.7 million, which represented a sequential decline in cash consumed from operating activities in the first quarter of 2022. In the 2022 second quarter, 0.8 million in cash was consumed by working capital activities as accounts receivable generated $14.4 million, which was offset by cash consumed by inventory, prepaid expenses and current liabilities. Prepaid marketing activities totaled $15.8 million with total cash outlay of $22.9 million related to marketing expenses through the -- end of the second quarter of 2022. Capital expenditures during second quarter 2022 were $6.8 million and primarily reflected the purchase of new automated manufacturing equipment, the installation of the chip line at our New Mexico operation, equipment for our new dedicated cold storage facility and the construction of an in-house laboratory in Paramount. This leaves less than $5 million in additional cash outlays related to property, plant and equipment for fiscal year 2022. Subsequent to quarter in, we expanded the UMB asset based lending line from $25 million to $40 million and extended its maturity to September, 2025. This credit line remains unused. This new untapped line of credit has provided us with additional flexibility to fund our growth. At the same time, we are making investments designed to improve the efficiencies and create economies of scale to support expected sales volume ramp through the second half of 2022 and 2023. We have revised our 2022 outlook slightly. We expect sales in the second half of the year to be stronger than first half 2022 sales. And thus, we are maintaining our full-year 2022 revenue outlook of $280 million to $285 million. We expect our top-line growth to be driven by several factors, including expanded distribution points and retail locations, new pricing measures, and exciting new product verticals. As Sam noted, growth remains our top priority and we will continue to invest in the business to support growth opportunities. With that in mind, marketing expenses are still expected to total $27 million to $32 million with $17.5 million of that figure spent year to date. Our CapEx outlook remains at approximately $20 million with a focus on automation and robotics at our manufacturing facilities. Capital expenditures through the first six months of 2022 totaled $15.6 million. We did reduce our gross margin expectations for the year to 8% to 10% from 10% to 12%, given the impact of previously mentioned inflationary cost pressures in the second quarter of 2022. I thank you for your attention, and I'll turn the conversation back to Sam.
Sam Galletti: Thanks, Stephanie. Let's open a call for questions from our analyst.
Operator: [Operator Instructions] Our first question is from Rob Dickerson with Jefferies.
Rob Dickerson : I guess a couple questions. First question, just on the top line. I know you said now, and it's also what's implied is revenue should be stepping up a little bit more in the back half relative to the first half. And it sounds like maybe there's some new distribution opportunities forthcoming. Maybe if you could just kind of broadly just provide some color as to like, if anything's really changed relative to let's say, three months ago, like, did you actually get new business wins or new products are going to be deployed a little bit more quickly than you saw it? Just trying to gauge kind of what drives back half revenues a little bit better than previously expected.
Matt Williams: Hi, Rob. It's Matt. I'll take that question. So we do there -- the way we're getting there in the second half is really three main things. The first is we are continuing to see a lot of the commitments that we have gotten from customers on some of the new categories that we've launched such as the Mexican entrees and the burritos taking half in -- or taking hold in second half resets that we were pitching, obviously in Q1 and Q2. So that's built into the model. The second is our price increase. So we did announce a price increase that will be going into effect in all of Q4. So that is the second component. And then we have built in a very significant new distribution agreement with the largest retailer in the U.S. from a retail perspective. So we haven't announced that yet kind of to the market but it is taking our distribution to more than national distribution. So we will be nationally distributed at this retailer. And so that is built into our forecast for the second half of the year. And those three things are what are going to be driving the step up in revenue.
Rob Dickerson : Okay, got it. That's helpful. And then I guess just in terms of the gross margin, and what's implied for the back half of the year, does seem like there's still somewhat, let's say of a wide-ish range in Q3 and Q4. So just maybe if you could help me understand, like what would need to happen to hit the higher end of what I guess would or could happen if you hit the lower end?
Stephanie Dieckmann: Rob, it's Stephanie. So on the topic of growth margin our revenue was down quarter-over-quarter, where we did see significant increases year-over-year. The fixed cost that we started running the business at as far as operations is concerned didn't really change a lot. And so what you're seeing is with decreased revenue, the margin shrink, and so in Q3 and Q4, when the revenue numbers go back up, the margin comes back in. And so it's more about that than it is any outside factor or anything else. Obviously, we all know that inflationary costs are still an issue within the industry, but it's a very simple answer for Q2 as far as the margin differential.
Rob Dickerson : Okay. Got it. And then just one last one for me, I'll pass it on is just on the cash side, the cash balance is obviously a little bit lower than it was last quarter and which is lower than the previous quarter. So kind of the cash balance has been kind of trickling down. I know you announced the new credit facility that gives you a little bit more flex, but at the same time directionally, right? The cash has still been, there's a little bit of cash burn and you're – you’ve been operating at a loss. So, as you think through kind of the back half of the year, as we maybe get into the end of the calendar fiscal year, is the hope and the expectation is the cash balance actually starts to revert, goes kind of -- starts to go back up and we actually could maybe get to some positive balance? Because it seems like that's would be somewhat challenging if you still think kind of positive EBITDA’s not forthcoming until later in ‘23.
Stephanie Dieckmann: Hey, Rob, it’s Stephanie again. So one of the things that you highlighted in the press release and in this phone call as well is, we have invested a lot of money into CapEx and into marketing for this year. And each of those has roughly 5 million in cash left to go. So we've got about 10 million in cash outlay for that. So the cash outflow for the company does become significantly lower than it has in Q1 and Q2 for the back half of the year. As you mentioned, we also expanded our asset based lending line and currently we have no balance on it. So we're pretty confident that between those items we have pathway to get to that profitability number and be okay. And so we're focused on that as well as everybody else is.
Operator: [Operator Instructions] Our next question is from George Kelly with ROTH Capital.
George Kelly: So first one, just to follow-up on the prior questions, how much pricing are you taking in fourth quarter?
Matt Williams : George hi, it’s Matt. So we -- obviously this has been challenging for all suppliers through the last couple of years. As we were talking to retailers, when we were indicating this, a lot of retailers were sharing that brands and manufacturers. It was a little bit of like death by a thousand pinpricks. Like, start with a low-single-digit price increase, that was kind of what they went out with. And then they reevaluated their business and then they had to come back six months later and take another mid-single-digit price increase. So what we did is we did it in one fell swoop where we're obviously catching up to the market. And so we are kind of in that low-double-digit range in terms of what we took to the market. And what we're encouraged by is that with that price increase it obviously is going to help to offset some of the expenses that we're facing in our business today. While at the same time, still keeping us in line in terms of our pricing at shelf based off of what our competitive brands and the brands that we look at, the consumers were trying to reach have done and where we're at today from a pricing perspective.
Sam Galletti : I just wanted to add also that all of our business, all of our distribution we've won, like all of these new businesses just continuously being won in the last year. And as every month, we're launching new SKUs with new markets. And so for us to have been taking an price increase when we're just getting distribution within a week or two or something, it would really hurt the potential of the item. So we really wanted to give as much as it hurt from a profitability standpoint, we really needed to give some time for those items to hit the shelf and to get some credibility and earn some awareness before we were able to feel comfortable about taking that price increase. So we really hung in there as long as we could, and now we feel comfortable to do it. And so we feel that they'll -- we will continue to be successful with the growth on how we address this pricing issue.
George Kelly: Okay. That's helpful. Next question for me is on the guidance for positive EBITDA by sometime I think in the back half of next year. Can you just help bridge how you're going to do that? And if the main kind of buckets that I'm thinking of I mean, it seems like maybe you're considering stepping back on some of your marketing investments. Just curious if that's the case. And then this automation and pricing, like, can you just help using those three things, like what’s the biggest element of all the expansion you're -- the margin expansion you're expecting?
Sam Galletti: Absolutely. George. So it's just tackling and blocking here. We talked about the price increases. We've talked a lot about being vertical, and being vertical gives us such an advantage for mostly relying on a co-packer and that additional price increase that they would be passing on to us. As we just spoke a little bit in our script, we've discussed that we are making more of the products that we've been buying. So we are vertical, but we still buy a certain amount of ingredients and we will continue to streamline our purchases of our products, and then our production, the efficiencies. We talk about these robotics and by -- and when we talk about like the efficiencies of robotics, we're not just talking about packing an extra 100 units, a minute of a bowl. We're talking about continuously trying to make more and more of the ingredients to reduce our cost. It's very, we're very unique. It's why our model we feel is so important to what most of the other companies are. So we're vertical. We have our price increases. We have our robotics going on, and then we have our revenue growth that's coming. So you add all of these things up together and we really feel confident by the end of ‘23, we're going to be profitable. So absolutely, by doing all of these things, our labor numbers by bringing in these robotics are going to come down significantly too. So again, we have so many levers to be able to pull from to increase our profitability, revenue, price increases, being vertical, labor. And it's like, because we're this new company that we're just introducing all of these products, we have inefficiencies. As the more product we make, the more we streamline our operations, the more that we're going to be able to be profitable. So, I mean, it's -- you could see it. I can see exactly how we're going to get there. We just need to execute, but the pieces are in place. The puzzle is there -- the pieces of the puzzle are all there.
George Kelly: And the last element I didn't hear you speaking about was just marketing. What is your plan just broadly? I'm not asking for specific guidance next year or anything, but like how do you think generally it'll go forward after this year's investment.
Sam Galletti: I want to keep my foot on the pedal. I mean, obviously we need to be responsible, but it's like Sarah pointed out, in a year we went from -- in two years we really went from like 4% to a year ago 11% to this year 20% brand awareness in the United States. And I mean, for a company that just launched a brand within a couple years to have 20% brand awareness across the U.S. is incredible. And we are -- I hate to take my foot off the gas, but we will be responsible with the cash requirements that we have.
Operator: We have reached the end of the question and answer session, and I will now turn the call over to CEO, Sam Galletti for closing remarks.
Sam Galletti: Thank you everyone for your participation today. We look forward to speaking with you all soon. Have a great day, and enjoy the rest of your summer.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.